Company Representatives: Bill Galvin - President, Chief Executive Officer Ted Dosch - Executive Vice President, Chief Financial Officer Kevin Burns - Senior Vice President, Investor Relations, Treasurer
Operator: Good morning. My name is Jessie, and I will be your conference operator today. At this time I'd like to welcome everyone to the Anixter International Inc., First Quarter 2019 Financial Results Conference Call. [Operator Instructions]. Thank you. Kevin Burns, Senior Vice President, Investor Relations and Treasurer, you may begin your conference.
Kevin Burns : Thank you, Jessie and welcome to Anixter's First Quarter 2019 Earnings Call. With me to review our financial results are Bill Galvin, President and CEO; and Ted Dosch, Executive Vice President and CFO. Following our prepared remarks, we will take your questions. Today's presentation includes both GAAP and non-GAAP financial results, which are reconciled in our earnings release and accompanying the slide presentation posted on our Investor Relations website. During our comments today we will be referencing these slides.  Before we begin I want to remind everyone that we will be making forward-looking statements which are subject to a number of factors that could cause Anixter's actual results to differ materially from what is indicated here. We do not undertake to update these statements and refer you to our SEC filings for more information. With that, I will turn the call over to Bill.
Bill Galvin: Good morning everyone and thank you for joining our first quarter 2019 earnings call. This morning I will begin with an overview of our first quarter financial performance, including sales and gross margin trends. I will then turn the call to Ted to review our financial performance in more detail and provide additional thoughts on our outlook for 2019. As you saw from this morning's release, sales in the quarter increased 7% to $2.1 billion which is the highest first quarter sales in our history. Our strong sales performance included organic growth in all segments, as well as record first quarter sales in both NSS and UPS segments.  Adjusting for the favorable impact of the security acquisitions completed in the second quarter of 2018, and the unfavorable impact of lower average copper prices and generally weak foreign currency, organic sales increased by 8%. Sales growth was above our outlook range of 3% to 5% driven by the NSS segment with strong growth in global accounts and security and utility customers in our UPS second.  In addition to strong sales growth, we deliver meaningful year-over-year improvement in gross margin for the second consecutive quarter, driven by actions we have implemented across the business. This reflected excellent sales execution and is evidence of the value we continue to provide to our customers. Overall first quarter 2019 GAAP earnings per diluted share was $1.14 and adjusted earnings per diluted share increased 15% from the prior year to $1 33.  Let me know review our sales trend by segment beginning with Network & Security Solutions. As shown on the slide six, record NSS quarterly sales of $1.1 billion increased 12%. Unfavorable currency offset the benefit from the acquisitions, resulting in organic growth of 11%. Growth was broad based included in all key strategic sales initiatives.  It was driven by global accounts, complex integrated supply programs and our security, wireless and professional audio/video businesses. We had strong growth with global technology companies and with service providers in the emerging markets.  By region NSS North American sales of $825 million increased 8% on an organic basis, driven by growth in both security and network infrastructure, including our wireless and professional A/V initiatives. In EMEA NSS sales of $94 million were flat on an organic basis. We had solid global activity in continental Europe, which was largely offset by declines in the UK and Ireland due to uncertainty surrounding Brexit and lower first quarter project activity in the Middle East. Emerging market sales of $194 million increased 31% on an organic basis with strong growth in both CALA and APAC. The growth in CALA was broad based with strength in all major countries and continued strength with existing and new service providers in that region.  Turning to the securities slide of the NSS business, sales of $476 million or approximately 43% of segment sales increased 15% driven by strong organic growth of 11% and the acquisitions completed in Q2 of 2018. Booking activity and backlog continues to build, especially with our global customers and continued strong project activity.  Moving to the Electrical & Electronic Solutions on slide seven, the first quarter sales of $566 million were flat. Adjusted for the unfavorable impacts of lower average copper prices and generally weak foreign currencies, organic sales increased 2%.  Looking at EES by region, North American sales of $443 million increased 2% on an organic basis, as growth in the U.S. and Canadian commercial and industrial business was offset by declines in the OEM business. The OEM softness was primarily in the semiconductor and industrial manufacturing verticals. In EMEA, EES sales of $59 million declined 10% on an organic basis. We saw declines in both C&I and OEM businesses in Europe and the Middle East.  The decline in North America OEM business and the EMEA business is consistent with the deceleration reflected in the U.S. and Europe area PMI indices. In EMEA markets EES sales of $64 million increased 19% – I’m sorry, in emerging markets EES sales of $64 million increased 19% on an organic basis driven by industrial project strength in CALA. We continue to have positive book-to-bill ratios and the backlog is up in all geographic regions with the exception of EMEA.  Finally our Utility Power Solutions segment achieved record first quarter sales of $430 million, resulting in 8% growth on an organic basis shown on slide eight. This represents the 9th consecutive quarter of growth for this segment. Growth was broad based, with strong sales resulting in both – results in both IOU and Public Power and across U.S. and Canada.  The IOU business achieved strong growth with existing customers, while our Public Power business had strong project activity, especially in utility contracted customers. The fundamentals of this business continued to look good in both the U.S. and Canada as reflected in our bookings and backlog.  Let me turn to gross margin on slide nine of our presentation. As we discussed on our Q4 call, we had implemented long term strategies across the business to improve gross margin. We believe gross margin expansion represents a significant opportunity and plan to invest a portion of the gross margin improvement in our innovation and business transformation initiatives, while still delivering operating margin expansion. First quarter gross profit improved 9% to $419 million, resulting in gross margin of 19.9%, an increase of 30 basis points year-over-year. The sequential decrease is due to segment and customer mix and is typical of what we see from Q4 to Q1. For 2019 our goal is to continue to improve gross margin by approximately 20 to 40 basis points from the full year 2018 levels.  To summarize, our strong first quarter sales performance reflected good execution by the team and benefited from a relatively stable economic background. We achieved organic growth in all segments and all geographies with the exception of EMEA. Our market data indicates that we maintain or gained market share in our major business.  As we look to the rest of 2019, the demand backdrop continues to be favorable in most of our geographies, as our backlog continues to increase and our pipeline is healthy. The indicators most relevant to Anixter such as U.S. PMI remained an expansion territory and CapEx spending remains solid although growth trends have decelerated in recent months.  As we look across our regional businesses, our European business is experiencing the most uncertain economic environment and we expect those challenges to continue for the foreseeable future. While we are concerned about some of the broader political and macroeconomic uncertainty, including ongoing trade tensions in Brexit and uncertainty in other EMEA markets, we remain cautiously optimistic that our overall growth trends will continue for 2019.  Based on our strong first quarter, the generally solid trends we are experiencing and the success of our focus sales initiatives, tempered by ongoing uncertainties in the external environment, we are increasing our outlook for the full year 2019 organic sales growth to the 4% to 6.5% range. With that, let me turn the call over to Ted for a more detailed analysis of our results and our outlook for 2019. 
Ted Dosch: Thanks Bill and good morning everyone. As a reminder, today's earnings release includes non-GAAP measures, which are reconciled to GAAP measures in the financial tables that the company released and are in the appendix of our accompanying slide presentation. We believe the non-GAAP measures we disclosed provide the best representation of our ongoing operational performance. Bill covered our strong sales and gross margin performance, so I will begin with operating expense. Looking at slide 10, first quarter operating expense of $344 million compares to prior year operating expense of $323 million. Excluding the non-GAAP operating expense items detailed on Page 10 of our release, adjusted operating expense increased 7% or $22 million to $336 million.  As a percentage of sales, current quarter adjusted operating expense of 15.9% compares to 16% in the prior year. The primary drivers of the increase in adjusted operating expense were $8 million related to the acquired companies, $7 million related to our innovation and business transformation initiatives, as well as volume related costs associated with our 8% sales growth.  Adjusted EBITDA increased by $13 million to $97 million due to strong volume in margin improvements in the segments and was partially offset by the investment in innovation and business transformation expenses at corporate.  Adjusted EBITDA margin of 4.6% increased 40 basis points from 4.2% in the prior year. With our gross margin action and expense control efforts, we expect modest EBITDA improvement this year with accelerated benefits next year and beyond.  As we discussed on our Q4 call, our continued investments in innovation and business transformation with a focus on customer facing technologies will enhance our digital capabilities and enterprise efficiencies. As part of this multiyear initiative, we are also streamlining and standardizing our global business processes as we migrate to a more efficient operating model.  Let me now review adjusted EBITDA trends by segment. Beginning with NSS as shown on slide 13, adjusted EBITDA increased 33% to $78 million. The resulting adjusted EBITDA margin of 7% compares to 5.9% with the improvement driven by gross margin improvement and strong operating leverage. EES adjusted EBITDA decreased 6% to $33 million, resulting in a 30 basis point decline in adjusted EBITDA margin to 5.8%. While gross margin showed improvement, lower volumes and higher employee costs contributed to the decline.  Finally, UPS adjusted EBITDA of $23 million compares to $21 million. The corresponding adjusted EBITDA margin of 5.3% compares to 5.2%. This performance was driven by volume growth combined with solid operating leverage.  Moving down the income statement, interest expense of $20 million compares to $18 million in Q1 2018. The increase was driven by higher average borrowings under the revolving lines of credit due to the acquisitions in Q2 of last year, and to support volume-driven higher working capital requirements.  We expect interest expense to be flat in the second quarter of 2019 compared to Q1. Our other net income of $2 million was roughly flat with the prior year quarter. However, we expect other net to the expense in the $2 million to $2.5 million range per quarter going forward.  Turning to taxes, our first quarter 2019 U.S. GAAP effective tax rate of 30.3% compares to 29.7% in the first quarter of 2018 and our adjusted ETR or 29.8% compares to 28.5%. The higher ETR is due to country mix of earnings. We expect the Q2 tax rate to be consistent with the Q1 tax rate as this rate is based on our projected full year ETR.  Moving down to earnings per share, our adjusted diluted EPS of $1.33 increased by 15% or $0.17 from the year ago quarter. As we discussed, we experienced both copper and currency headwinds in the quarter. The $37 million impact on sales translates into an $0.08 unfavorable impact on diluted EPS. For diluted share accounts 34.2 million shares, looking ahead we expect our share count to be flat for the remainder of 2019.  Turning to slide 16, our working capital ratio of 19.6% compares to 20% in the prior year quarter. This 40 basis point improvement was driven by our ongoing focus on working capital efficiency. While working capital dollars have increased to support the higher sales growth, we continue to drive improvements in our working capital processes to enable more efficient use of our balance sheet.  We used a $114 million in cash from operations in the quarter, which compares to $71 million used in 2018, with the change driven by an increase in working capital to support growth in the business despite the improvement in working capital efficiency. Finally, we invested $6 million in capital expenditures in 2019 compared to $11 million in 2018. This resulted in a free cash flow use of $120 million for the quarter.  Turning to slide 17, our first quarter 2019 debt-to-capital ratio of 45.8% compares to 44.4% at year-end 2018, within our target range of 45% to 50%. Our debt-to-adjusted EBITDA ratio of 3.2x compares to 3x at year end 2018 and is slightly above our target range of 2.5x to 3x in the year.  The increase in our leverage metrics since year end 2018 was due to the increased debt levels to support increased working capital needs for the business. Our weighted average cost of borrowed capital of 5.3% compares to 5.3% at the end of 2018, and our liquidity position remains strong with total available liquidity under revolving lines of credit and secured accounts receivable and inventory facilities of $484 million at the end of the quarter. In Q1, 2019 Anixter adopted a new FASB Accounting Standards for leases. We recognized approximately $250 million of right of use assets and liabilities upon adoption. There was no P&L impact for the adoption of this new standard.  Turning to our outlook for sales growth. As Bill said, our outlook range for full year 2019 organic growth is 4% to 6.5%, which compares to our previous outlook of 3% to 6%. Based on trends in the business through the month of April and supported by generally favorable economic indicators, we are estimating second quarter 2019 organic growth to be in the 3% to 5% range. While this outlook may seem conservative compared to our Q1 sales growth of 8%, please keep in mind that Q2 is a more challenging comparison for us as we delivered 4.9% growth in the second quarter of last year. Our 2018 and 2019 two year cumulative growth for Q1 was 9% and our Q2 two year cumulative growth would also reflect a 9% growth at the mid-point of our outlook range.  As Bill indicated, we expect gross margin to improve for the year, about 20 to 40 basis points from the full year 2018 results. In the first quarter we saw a 30 basis point improvement in the year-over-year margin and as we look at the second quarter we expect 20 to 40 basis point improvement in gross margin on a year-over-year basis.  Turning to operating expense, for the full year we expect adjusted operating expense as a percentage of sales to increase slightly. We expect the actions we are taking to improve gross margin will both fund investment and innovation and business transformation and create operating margin expansion. Looking at the second quarter we would expect our adjusted operating expense dollars to increase on a sequential basis due to higher volume. To further help with your modeling, we have provided our estimates for the impacts of currency, copper and the acquisition on our second quarter and full year 2019 sales on slide 19 of today's presentation. Looking ahead, we expect to generate $95 million to $115 million of free cash flow for the full year 2019, consistent with the outlook we provided last quarter. We expect to generate cash flow from operations of $150 million to $175 million for the full year 2019 and to invest $55 million to $60 million in capital expenditures in 2019, with the year-over-year increase primarily due to our increased investment in innovation and business transformation. Based on the current value of the U.S. dollar against other currencies, we estimate a sales headwind of $20 million to $25 million for the second quarter and a headwind of $55 million to $65 million for the full year. Based on recent copper prices of approximately $2.90, we estimate unfavorable sales impacts of $5 million to $10 million in the second and $0 million to $5 million for the full year. As a reminder, average copper price was $3.09 in the second quarter of 2018 and $2.93 per pound for the full year of 2018. Finally, the sales impact from the acquired businesses will be approximately $25 million in the second quarter and $50 million for the full year, reflecting an incremental five months of ownership. Let me conclude my comments by reiterating that we were pleased to deliver strong sales growth in the first quarter. We believe our differentiators provide a competitive advantage and we are positioned for strong growth into the future. We delivered on our additional priorities of improving gross margin and increasing earnings in the first quarter. We are pleased that we are continuing to see the benefits of the actions we have implemented. We are in the early stages of our innovation and business transformations which will deliver state of the art customer facing technologies and best in class enterprise efficiencies. We expect our investment in innovation to deliver significant long term benefit with the goals of improving profitability, increasing cash flow from operations and creating value for all of our stakeholders. With that, we will now open the call for questions.
Operator: Thank you. [Operator Instructions]. Your first question comes from Allison Poliniak with Wells Fargo. Your line is open.
Allison Poliniak: Hi guys, good morning.
Bill Galvin: Good morning.
Allison Poliniak: Could we go back to EES? I guess the first thing, the OEM weaknesses, you know has that changed your view for the entire year in that segment, and then also just looking at the adjusted EBITDA margin target for ‘19 for that segment, it looks like you brought it down a little bit. Any color on that?
Bill Galvin: Yeah, I don't think we brought down the estimates of the year, but as it relates to the OEM business Allison, we did and I think the market has seen weakness in that semiconductor space. We also saw it in the industrial space. I think our view is that we are continuing and our pipeline looks better as we go into the second quarter and for the full year. But as we’ve said in the past, the margin in the OEM business is higher than – it is higher than the other businesses in EES therefore impacting the EBITDA results. But again, I think our outlook says that we see that improving throughout the year, but overall the total year outlook is roughly the same.
Ted Dosch: Yeah, and Allison just to clarify, we did not change our projection for the EBITDA outlook for any of the segments. We still show 6% to 6.5% for EES for the full year compared to 6.2% for last year and keep in mind from a kind of a normal seasonality of our business, our Q1 margin tends to be lower on a consolidated basis for the total company, which is what we saw in EES as well.
Allison Poliniak: Thanks, that's helpful and then on asset, you know nice operating leverage there, you know pretty high. Was that just the volume? Any reason that would come down? Anything unusual driving that EBITDA leverage this quarter?
Bill Galvin: Well, I mean it's a combination of a few things. Obviously the volume and we get leverage on the volume Allison and of course the mix of the business was also good, very strong content and services business that we've been talking about and we feel like that is just a solid performance by the NSS business.
Ted Dosch: Yeah, the only thing I would add to that Allison is keep in mind that Q1 of last year was the weakest quarter for NSS and so you will remember it was the last quarter of somewhat flattish growth in that business before it really began to take off in Q2 of last year. So we had a somewhat of a depressed EBITDA margin in Q1 of last. Although that 110 basis points of EBITDA margin improvement this year should continue latter or close to that type of rate of improvement over the course of this year.
Bill Galvin:   Allison, I’d also comment that if you remember last year, it was – the pipeline was slower to come to billings in the first quarter on the global accounts that we saw strengthening and that continues to improve. So we saw really strong performance this year in the first quarter for global accounts, the services business and as we said in the notes, the overall initiatives that we are driving with things like wireless, AD and so on that really performed well.  
Allison Poliniak:   Great, thank you. That’s helpful.  
Operator:   [Operator Instructions]. Your next question comes from Shawn Harrison with Longbow Research. Your line is open.  
Shawn Harrison:   Hi, good morning everybody and congrats on the results.  
Bill Galvin:   Thanks Shawn.  
Shawn Harrison:   If I were to think about, I don't know if legacy is the right term but what I’ll call legacy NSS business related to kind of data center, not res construction etcetera, how did that perform in the first quarter and did your view get more positive on that business as it relates to 2019 in terms of the guidance increase?  
Bill Galvin: Yeah, I think it’s a great question Shawn. I think it performed exceptionally well, and I think the – you know the hyper scale data center business was very strong, the global account activity was very strong. So you know the traditional business was solid obviously with the results, but again I highlight the content and service performance and some of the big programs, as well as a lot of the initiatives in again wireless and so on really performed well. So the data center business was definitely good and if you remember we commented this time last year where that was the part that took a longer time to recover quite frankly.  
Shawn Harrison:   And just on the large projects, either be it with the Pro AV, the in building wireless or kind of the traditional data center. I know that can be lumpy, but how is the visibility in terms of you know what those projects could look like as the year progresses.  
Bill Galvin:   Yeah, as we said in the comments Shawn, it’s a solid. The performance and the bookings and back log pipeline all look solid. So we are confident that we're going to continue to be able to deliver on that through Q2 and you know the visibility looks good.  
Shawn Harrison:   Okay and then on I guess cost inflation if I think back to last year and your lapping it now this year with transportation, logistics cost, other inflationary measures, where are you at in terms of full price recovery? Did you get there in the first quarter or you would you be there by mid-year?  
Bill Galvin:   I wouldn't say we got all the way there Shawn, but I would say that first of all the inflation of that has flattened out. We are not seeing the significant growth that we saw in the first quarter last year, but that continues to be the efforts to move those price increases and inflationary pressures into the market and I can tell you, we still have opportunities to do more of that.  
Shawn Harrison:   Okay, and then lastly for me just on the UPS strength, how much of that is market versus – I mean in the past two years you’ve been taking a lot of market share, winning new programs, and what was it, seven or eight straight quarters with this type of growth is pretty remarkable.  
Bill Galvin: I think the market’s grown Shawn, but I do think our performance has outperformed the market. So I think we’ve had a lot of good wins across the broad space and if you remember in Canada that was a bit of a headwind for us and that’s performing well now. So I think we've addressed where the weaknesses were, but I do, and I'm very happy with the team's performance to continue to drive wins in that business. You know it ebbs and flows, but I think overall it's performed exceptionally well.  
Shawn Harrison:   Thanks a lot
Bill Galvin: Thank you.
Operator:   There are no further questions at this time. I turn the call back to the presenters for any closing remarks.  
Bill Galvin:   Okay, another question just came in. Okay, so Jessie we’ll take that other question that just came in.  
Operator:   Alright, certainly. It’s from David Manthey with Baird. Your line is open.
David Manthey:   Hey, good morning guys. I got it in under the wire here. Yeah, it’s good. So a question on the emerging markets. Historically you’ve had some timelines were you get larger projects that have moved in and out of that number. I’m just wondering if there’s anything we need to think about relative to the strength you are seeing right now that we might see as it plays out over the course of this year.  
Ted Dosch:   Yeah, a good question David. In the past we've actually had you know – if you remember we had headwinds and everyone did in Brazil and things like that, but this growth is really based on long term programs. So we feel very confident about the ability to continue to repeat that type of base, because these long term programs have been great long term wins for us. So I think that sets up well for that continued performance.  
David Manthey:   Okay, so maybe as the…I’m sorry Ted, go ahead.  
Ted Dosch:   No, I was just going to emphasize one thing to bring clearly, you know because you were asking about projects and whereas we always do have you know projects in the emerging markets. The lion's share of this quarter's growth year-over-year and what we would expect this year is more ongoing program related than just one-time projects.  
David Manthey:   Okay, so that as the comparison gets more difficult through the year, maybe the growth rate tones down a little bit, but you feel pretty good about the strength you are seeing there?
Ted Dosch:   Yeah, I think that’s fair David. I think that explosive growth rate that we saw will normalize, but still be possible.  
Bill Galvin:   Absolutely! So 28% growth, organic growth in the quarter is not sustainable over an extended period of time. But we would expect emerging markets to have a higher growth rate than both EMEA, certainly EMEA which will be weaker, but even higher than North America.  
David Manthey: Okay, and then finally could you talk about your leverage or your contribution margins in the emerging markets? I think it may be a bit dated, but I know historically you had you know fairly sizeable under absorption in a lot of those markets and when you saw those kind of good growth it translated very well to high levels of profitability. Is that still the case or is the contribution margin not quite as strong in emerging markets today?  
Ted Dosch:   Yeah, your memory is correct there Dave. The contribution margins in the emerging markets is not as high as North America, but if you stop and think about it, you know we've got much, much more critical mass you know in North America. So we get much, much better cost leverage throughout the whole distribution network across the businesses in North America.   The emerging markets, we’ve got just off the top of the head probably 30 countries, 30 to 35 countries we are operating in between APAC and CALA. So outside of countries like Mexico, Brazil, Peru, you know Argentina, Australia, most of those other countries across CALA and APAC have – are a much smaller business. So I think the inherent difference is more due to operating cost leverage you know in those businesses as opposed to North America.   Having said that though, the operating margins in emerging markets are in between the much higher margins in North America, but still higher than EMEA and I think that's been the case for quite some time and we would expect that to continue to be the case as the that business grows.  
David Manthey:   Alright, thanks very much guys.
Bill Galvin:   Okay, so that concludes the call for today. If you have additional questions, please don't hesitate to reach out to Kevin. As always, thank you for listening to today's call.  
Operator:   This concludes today’s conference call. You may now disconnect.